Operator: Ladies and gentlemen, thank you for standing by. Welcome to FreightCar America’s Third Quarter 2014 Earnings Conference Call and Webcast. At this time, all participant lines are in a listen-only mode. For those of you participating on the conference call, there will be an opportunity for your questions at the end of today’s prepared comments. Please note this conference is being recorded. An audio replay of the conference call will be available from 1:00 PM Eastern Time today until 11:59 PM Eastern Time on November 30, 2014. To access the replay, please dial 800-475-6701. The replay pass code is 339904. An audio replay of the call will be available on the company’s website within two days following this earnings call. I would now like to turn the call over to Chip Avery, Chief Financial Officer of FreightCar America.
Chip Avery: Thank you, and welcome to FreightCar America’s third quarter 2014 earnings conference call and webcast. Joining me today are Joe McNeely, President and CEO; Ted Baun, Senior Vice President, Marketing and Sales; and Sean Hankinson – Vice President, Manufacturing Operations I would like to remind everyone that statements made during this conference call relating to the company’s expected future performance, future business prospects, or future events or plans may include forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. Participants are directed to FreightCar America’s 2013 Form 10-K for a description of certain business risks, some of which may be outside of the control of the company that may cause actual results to materially differ from those expressed in the forward-looking statements. We expressly disclaim any duty to provide updates to our forward-looking statements, whether as a result of new information, future events or otherwise. Our 2013 Form 10-K and earnings release for the third quarter of 2014 are posted on the company’s website at freightcaramerica.com. Let me now turn the call over to Joe McNeely.
Joe McNeely: Thank you, Chip. we are pleased with the company’s continued improvement. Strong market conditions and our diversification strategy have led to record orders for 7,375 railcars in the quarter, raising our backlog to over 13,500 railcars at the end of September. more importantly, our backlog includes over 8,900 non-coal cars and including our first orders for [new in queue] covered hoppers and boxcars to be built at our Shoals facility. While we continue to expect 2014 deliveries of approximately 7,000 railcars, the strong order activity will help us increase 2015 expected deliveries to between 9,000 and 10,000 railcars. to support this growth, we will invest in additional production capacity at our Shoals facility. The new capacity will allow us to capture current and projected demand and is expected to be online during the second quarter of 2015. The total capital we expect to invest for the expansion will be approximately $10 million. Our services business has a solid backlog of [program workers] who finished 2014 and move into 2015. However, the high utilization of coal cars continues to reduce the number of trains released for routine maintenance. This high utilization continues to unfavorably impact volume through our repair shops and sales of repair parts. Lastly we completed the sale of our previously closed repair shop in Clinton Indiana to [inaudible], generating a pretax gain of $1.1 million. Ted will now give you an update on our market and commercial activities.
Ted Baun: Thank you, Joe. The broad interest in freight cars that we saw in Q2 accelerated in the third quarter as we received orders for 7,375 railcars, of which 2,210 were rebuilds. This compares to 6, 001 units ordered on the third quarter of 2013 and 2,401 units ordered in the second quarter of 2014. Deliveries for the third quarter totaled 2,354 railcars, which included 1,554 new and 800 rebuilt railcars. This compares to 937 railcars delivered in the same quarter of 2013, which included 194 new and 743 rebuilt railcars. There were 1,635 railcars delivered in the second quarter of this year, of which 835 were new and 800 were rebuilds. As Joe mentioned, our order of backlog at September 30, 2014 was 13,514 railcars with an estimated sales value of $1.1 billion, which was up from 7,129 railcars at September 30 2013. Our backlog at June 30 2014 was 8,493 railcars. Industry wide, a record 42,900 units were ordered and 18,432 units were delivered during the third quarter of 2014. These were significant increases over the same period of the prior year in which 12,753 units were ordered and 12,647 units were delivered. Over that timeframe, industry wide non-tank car orders as a percentage of total orders increased from 60% to 81%, with covered hoppers accounting for 68% of third quarter non-tank car orders. We expect this general interest in a wide variety of non-tank cars to continue. The strong order activity increased the industry wide backlog to 124,437 units at the end of September 2014, up approximately 25% from the end of June 2014. 43% of this backlog consists of covered hoppers while 41% is comprised of [hand] cars. Please note that these industry figures do not include orders, deliveries or backlog totals for rebuild rail cars. Commodity loadings on U.S railroads also strengthened in the third quarter of 2014 and were up 4.1% when compared to the third quarter of 2013. Intermodal container loadings continued to grow during the third quarter, increasing 4.8% versus the same quarter in 2013. Railcar loading of grains, lumber, metallic ores and crushed stone, sand and gravel, each exhibited growth of 11% or more, versus the same prior year quarter. Coal loadings however decreased 2.5% versus our third quarter of 2013. Further on coal, utility stockpiles remain at relatively low levels while electricity demand has increased. As of the end of August 2014, utility coal stockpiles decreased to 121 million tons or 51 days of consumption, which is 16% below the 10 year average level and 22% below the August 2013 levels. Furthermore, in areas where coal competes as a fuel, total electricity generation through September 2014 was up 1.2%, when compared to the same period of 2013. Despite these factors, the coal market continues to be challenging. U.S coal production in the first nine months of 2014 was down about 1% versus the same period of 2013. And U.S coal exports are forecasted to decrease 18% this year versus last year. Relatively lower rail velocities and the need to replenish stockpiles has led to a decrease in the number of coal cars in storage to about 2,000 units at the end of September compared to 5,000 rail cars at the end of June 2014, the lowest level of coal cars in storage since October 21011. However, while there’s been an uptick in the utilization of existing coal car fleets, we don’t believe these factors will result in meaningful orders for western style coal cars in the near term. Now, I would like to turn the call over to Chip to address our third quarter financial results.
Chip Avery: Thank you, Ted. For the third quarter of 2014, consolidated revenues were $190.3 million compared to $75.9 million in the third quarter of 2013 and $139.7 million in the second quarter of 2014. Net income for the third quarter of 2014 was $6.4 million or $0.53 per diluted share and included a $1.1 million pre-tax gain or $0.05 per share on an after tax basis related the sale of the previously closed Clinton, Indiana repair shop. These results compare to a net loss of $900,000 or $0.08 per diluted share for the third quarter of 2013, and net income of $1.6 million or $0.13 per diluted share for the second quarter of 2014. Manufacturing segment revenues for the third quarter of 2014 were $181.5 million compared to $66.9 million in the third quarter of 2013 and $128.8 million in the second quarter of 2014. The year-over-year and sequential increases in revenues reflect the higher numbers of cars delivered to the market, particularly in the form of new cars, which increased by 1300 and 60 units on a year-over-year basis and 719 units on a sequential basis. Operating income for the manufacturing segment for the third quarter of 2014 was $16.2 million, a significant improvement from $4.3 million in the third quarter of last year and $7.4 million in the second quarter of this year. Services segment revenues were $8.8 million compared to $9 million in the third quarter of 2013 and $10.9 million in the second quarter of 2014. The decrease in revenue compared to the same period of the prior year reflects lower repair volumes largely offset by higher parts sales. The sequential reduction in revenue primarily represents lower parts sale. Operating income for this segment was $1.6 million in the third quarter of 2014, including the $1.1 million gain on the sale of the Clinton Indian repair shop. This compares to operating income of $700,000 in the same period of their prior year and $1 million in the second quarter of 2014. Corporate cost for the third quarter of 2014 was $6.5 million compared to $6 million in both the third quarter of 2013 and the second quarter of 2014. Turing to our balance sheet, our financial position remains strong with no outstanding debt and $80.5 million in cash and short term investments at quarter end. The reduction in cash versus the prior quarter was primarily driven by changes in working capital associated with production volume increases and utilization of customer deposits. At September 30, 2014 we held 725 leased railcars with a book value of $56 million compared to 748 railcars with a book value of $53 million at the end of 2013. The leased fleet was 100% utilized at the end of the third quarter. During the third quarter of 2014, we recognized a gain of $635,000 on the sale of railcar available for lease. This compares to a gain of $563,000 in the third quarter of 2013. Moving to capital expediters, during this quarter we spent $2.6 million primarily for the purchase of equipment in our Shoals facility, which brings year-to-date total capital expenditures to$8.2 million. At this point, I will turn their call over to Joe for concluding remarks.
Joe McNeely: Thanks Jeff. Our progress in bringing a number of new car types to market, the rapid startup of our Shoals facility, maintaining our coal car leadership position, improving our services operation and retaining a strong balance sheet, is attributable to the outstanding efforts of our employee and our supply chain partners and customers. Looking forward, we believe we are poised to capitalize on our diversification strategy and strong market fundamentals. To be successful, we will need to actively manage the continued growth at our Shoals facility as well as ensure that the strong market and resulting potential tightening supply of certain components does not impact out production rates. In closing, I want to emphasize. that we’re focused on the execution of our future priorities, which I believe will drive increased value for our customers, employees and shareholders. With that, we are ready to answer your questions.
Operator: (Operator instructions) And first call line of Michael Gallo with C.L. King. Please go ahead.
Michael Gallo - C.L. King: Hi, good morning. Congratulations on the diversification effort. It's paying off. I want to delve in a little bit on the $10 million investment on Shoals. How much do you expect that will allow you to increase production at that facility? And then also, are there other opportunities to think about at Danville or other places where you might be able to increase your production of non-coal car types?
Chip Avery: The $10 million is really to help us outfit. I know the production line down there, which will again depending on car types, add a couple of thousand to our production capacities there. Again a lot of that depends on the actual mix that we put it through there. Again what we are seeing in the demand and you see in some of the industry statistics is strong demand around intermodal cars and covered hoppers, things that aren’t really situated well for Danville and Roanoke. They will continue to be our focus for coal cars and other mechanically fashioned cars.
Michael Gallo - C.L. King: Okay and then sort of as you get beyond this production line, is there room to increase capacity further at Shoals at some point in time if desired or will that pretty much fill up what you can make out of Shoals?
Joe McNeely: I think any further increase in capacity, whether that’s physical build outs or adding on second shifts, we have to take a really close look at the long term demand there and make sure we are comfortable that there’s sustained demand there to add more money or invest in more people there.
Operator: Next we go to Justin Long with Stephens. Please go ahead.
Brian Colley – Stephens, Inc.: Hey good morning guys. This is actually Brian Colley on, taking the call for Justin today. Thanks for taking my question. Looking at your 2015 delivery guidance, could you just take about what this assumes for capacity utilization at Shoals?
Joe McNeely: I think from a Shoals standpoint, 2015 today is we won’t say sold out. There is some capacity that remains, but it's pretty wholish in spots. And again we will be adding to that capacity with additional capacity coming online mid-year. 
Brian Colley – Stephens, Inc.: As far as production utilization, are you going to be -- you think you can be at 80% production at Shoals by the end of 2015 or just, if you can give some sense of the production range that would be helpful.
Joe McNeely: Brian, we don’t give plant specific production rates after the utilization.
Brian Colley – Stephens, Inc.:
Okay. :
Chip Avery: Brian, it’s Chip. As you know, we don’t give forward guidance on our earnings. The unit volume you can see what we’ve said here. So in terms of the fourth quarter a lot of it depends on the product mix going through the facilities, the changeovers, holiday schedules and such. So again there’s a lot of different factors that go into it and at this point we are not commenting on our fourth quarter gross profit rates.
Operator: Next is line of Matt Brooklier with Longbow Research. Please go ahead.
Matt Brooklier - Longbow Research : Thanks and good morning. A question on the 2015 guide. If I just take the midpoint of what you guys outlined and I look at that on a quarterly basis, deliveries look about the same as what they were in third quarter yet you’re ramping up production at Shoals. Danville is now back online. So I’m just curious as to if you are adding capacity next year, why is the guidance suggesting that the production we did in the current quarter is the run rate going forward. are there mix issues? Is there some seasonality? Just trying to better understand your delivery guidance for next year.
Sean Hankinson: Hello Matt, this is Sean Hankinson. In response to that question, a lot of it is going to be dependent on product mix. The Shoals facility comes online and other things, other lines come out with the expansion is going to depend on product mix, but third quarter was definitely a different product mix than what we are going to be seeing going forward.
Joe McNeely : I think the other thing, Matt is also product line changeovers. We have some – we’re finishing up some long runs and as we look at next year we’ve got a few more shorter runs and some changeovers that impact the numbers.
Matt Brooklier - Longbow Research : Okay. and then so you mentioned earlier coal car utilization is currently running at higher end levels, yet you don’t see that as a positive for new coal car demand. And I’m just trying to understand that dynamic. If we have higher utilization and congestion on the railroads I would think that maybe you potentially would see some benefit there yet you guys don’t believe that that could drive new orders moving out.
Ted Baun: Hey Matt, it’s Ted. The railroads are pretty clear that they don’t want add equipment to solve the congestion problem and all four major class ones in the U.S have repeated that. That’s really in line with our comment and why we say what we are saying.
Matt Brooklier - Longbow Research : Okay. And then just finally, you sold a maintenance and services facility in the quarter. Just given the bigger picture decline in overall coal demand, do you think potentially you need to shrink your network further at this point or you think you’ve right sized it?
Joe McNeely: Again, I’m not going to comment specific on that. The facility that we sold and we closed earlier in the year was one that wasn’t an optimal spot. We didn’t make enough money. So from a strategic standpoint we wanted to get out of there. We really like our current repair network.
Operator: Next go to Sal Vitale with Sterne, Agee. Please go ahead. 
Sal Vitale – Sterne, Agee & Leach: Good morning gentlemen. Just quick questions to follow up on the comments that were just made regarding the railroads being clear that they don’t want to add more cars to deal with congestion issues, so how do you think about this longer term? There’s the current situation. There’s the railroads current stance. Does that change your view on the coal car replacement cycle longer term or does it push it out? Can you provide any color on that please?
Ted Baun: Hey Sal, Ted again here. I think if you look at it dividing the eastern coal, the eastern railroads and the western railroads, let’s start with the east. They will continue to need to replace their aged fleet. Demand for orders in the near term is a question marks for us. I think it gets pushed out a little bit. But when you look to the west, I do think that there’s pressure with the broader use of natural gas and other things that’s going to be very difficult for coal to -- coal cars to be ordered in the near term. I think longer term we’ll take a more conservative view on that. 
Sal Vitale – Sterne, Agee & Leach: Okay. It seems that your gamble paid off over the last couple of years diversifying into other car types given the delay in the continuation of the replacement cycle on the coal side. And then just one clarification really. Joe, I think you said earlier that you’re seeing strong demand for intermodal and covered hopper. Are there any other car types that have driven your recent increases in backlog?
Joe McNeely:
 :
Ted Baun: Yeah. It's products that are used in open top hoppers, open top mill guns, non-coal variety. I think it’s very broadly based box cars, covered hoppers mill gondolas, coil gondolas, flat cars, both intermodal and non-intermodal. So we are seeing a broad interest in all the freight car types. 
Sal Vitale – Sterne, Agee & Leach: Can you provide any color like within the covered hopper how much of those are sand cars? 
Ted Baun: As an industry? 
Sal Vitale – Sterne, Agee & Leach: No, in terms of your orders, so how much of the orders that you received recently are the --specifically sand cars. 
Ted Baun: Sure. We are not going to provide any guidance on mix in our backlog of orders. 
Sal Vitale – Sterne, Agee & Leach: okay, that’s fine. And then just a last comment, I think you said that the Danville and Roanoke facilities, they are not well suited to intermodal covered hopper and they are still geared towards coal cars or are they also geared towards other types of cars?
Joe McNeely: It’s mostly coal cars. They can produce certain other cars, but primarily mechanically persons if not some of the open car types like covered hoppers and flat cars. Those things are really going to be the focus of this whole facility.
Sal Vitale – Sterne, Agee & Leach: Given that you are not seeing a lot of demand for coal cars at this point, is there any prospect of say reducing capacity at the Danville and Roanoke facility at any point? 
Joe McNeely: Right now we’ve still got coal cars in the backlog and we are still building those and other car types that they can build. What happens as we go forward will really depend on our future orders and where the backlog looks like they’re going. 
Sal Vitale – Sterne, Agee & Leach: Okay. And then just the last question, I know you don’t provide any margin guidance but just directionally should we see any degradation over the next couple of quarters just due to the capacity adds that you are undertaking?
Chip Avery: It’s Chip again. In terms of the margin, nothing forward but your point is correct on the ramp up. As we start to build off a line, hire employees and training, we will see costs. It won’t be as significant as start of the overall facility that we saw during 2013 and into 2014. But we will see some pressure probably over the next four months on the startup. 
Sal Vitale – Sterne, Agee & Leach: Okay. So it’s fair to say that even looking at full year 2015 that the margins should be back weighted, should be probably higher in the second half of the year. 
Chip Avery: yeah. The capacity – that capacity will be online in the second half and will then through that training period and noncapital spending as well. All other things being equal, that’s correct. Again a lot of it just depends on what mix is in the back half. But specific to the ramp up that’s what you would expect. 
Sal Vitale – Sterne, Agee & Leach: Okay, that’s fair. Good job of diversifying away from coal.
Operator: Our next question is from Steve Barger with KeyBanc Capital. Please go ahead. 
Steve Barger - KeyBanc Capital Markets: When Shoals was built, I believe there were four lines in the facility. And I know it’s very comprehensive from a process equivalent standpoint. How many lines do you control now and can you be more specific on what the $10 million goes to? 
Joe McNeely: Right now again, you are right. It was originally built as four production lines. We have the three of those that will be operating. The $10 million is going to be really it’s equipment. It’s putting some of the infrastructure stuff in it to build the cars. 
Steve Barger - KeyBanc Capital Markets: Okay. Is it possible that you can get that fourth line or is that taken by somebody else? 
Joe McNeely: Again I think as I said is, if you look at future capacity expansion, it’s really we’ve got to look at the long term markets and you are really comfortable with where we can commit to do anything. But the physical build out or even adding more shift that we can sustain that because it takes a lot to invest in people and in plant. We are real cautious about that. 
Steve Barger - KeyBanc Capital Markets: Understood and right now you are just operating one shift on the three lines? 
Joe McNeely: We won’t comment how many shifts we are running. 
Steve Barger - KeyBanc Capital Markets: All right. And just so I’m clear from a mix standpoint, I know you don’t talk about specific mix, but you only build coal cars at Roanoke and Danville and you only build non-coal at Shoals. Is that right, there will be no mixing?
Joe McNeely: As I said, Danville and Roanoke predominantly coal cars or other mechanical parts. There’s other car parts that we built there the past, aggregate cars and things that are similar. That will still be a focus and most of our new car types are going to go through Shoals. 
Steve Barger - KeyBanc Capital Markets: Understood. Do you expect your inventory balances to increase significantly to meet demand here or do you think this $100 million, $110 million level supports your anticipated production needs? 
Chip Avery: It’s Chip. We don’t expect a ramp up. A lot of this is just quarter end timing. It did peak up a little bit here in the third quarter, but I don’t anticipate having to add significant inventories to support the back log. 
Steve Barger - KeyBanc Capital Markets: The majority of the material requirements are already reflected on the balance sheet?
Chip Avery: That’s correct. In terms of the forward that’s right. 
Steve Barger - KeyBanc Capital Markets: Yes. I’m just trying to get a sense for cash utilization going forward. 
Chip Avery: That’s right. Yes. 
Steve Barger - KeyBanc Capital Markets: And I guess just last question, you’ve been in Shoals for a while now. What have you learned? What’s been working better than you anticipated? what’s maybe running slower? just can you give us an update on your thought process on how that whole facility is operating for you?
Joe McNeely: I’ll take that one, Steve. I think it’s operating like we expected. in terms of within the year, we’ve gone from a virtual startup to now producing on a couple of lines with anticipated adding another. so I think that’s good. what we learned is the people down there are good and they work hard. our team has done a really good job or getting stuff implemented that’s there. and again we are not a startup anymore. We’re not at where we really say going to be long term efficiencies which is normal, but where we expect to be.
Operator: (Operator instructions) We go to line of Mike Baudendistel with Stifel. Please go ahead.
Mike Baudendistel – Stifel Nicolaus: Wanted to ask you on some of these newer non-coal cars that you’re building in Shoals. when you’re in the marketplace maybe competing with someone that has a great deal more experience in those car types, do you feel like you have to price the equipment more aggressively to win that business?
Ted Baun: it depends on the car type, Mike. but all in all I think that we’ve – it depends on the mix and the car type, but I would say we do not have to price. In some cases we do and in some cases we don’t I guess is the best way to answer that.
Joe McNeely: One other thing is that I think we’ve got a good reputation is build on quality cars. So that takes some of the questions marks out to customers. Again our customers that we are selling to have been customers of ours for a long time so they know us pretty well.
Mike Baudendistel – Stifel Nicolaus: Have you gotten feedback on the performance of those cars in the field yet and how has that been?
Joe McNeely: I think from a quality standpoint they are good. Again these are long live assets and again the cars that we built down there have only been out of service now for a few months, but right now everything there seems to be where we expect it to be .
Mike Baudendistel – Stifel Nicolaus: Good. And just a follow up on a previous analyst question. The inventory levels are increasing the second quarter to third quarter. Is that more or less temporary and you expect assets to come down so we’ll see the cash balance maybe come up at the end of the fourth quarter a little bit closer to where it was earlier in the year?
Chip Avery: We buy inventory for specific jobs. It’s not -- everything that you see there is really either close to being online. It did come up a little bit and again a lot of it just tends to be the timing of when the product ships. We’d of course like to continue to be as efficient as we can in inventory, but we also have to make sure that the supply is there. Again my hope is, is that it does come down a little bit in the fourth quarter, but again it is specific. It's not a speculative type purchases if you will. So again it's really just there to support the near term production.
Joe McNeely: Maybe to your cash – this is Joe. To your cash question, we would, absent anything else, expect cash to go up as receivables are collected. But a lot of it will be dependent on timing of buying inventory for future orders and delivery of rail cars and payment on receivable. 
Operator: At this time there are no further questions in queue. .